Operator: Good day, ladies and gentlemen and thank you for your patience. You joined the ITC Holdings Corporation Third Quarter Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a remainder, this conference maybe recorded. I would now like to turn the call over to your host, Ms. Gretchen Holloway. Ma’am, you may begin.
Gretchen Holloway - Director, Investor Relations: Good morning, everyone and thank you for joining us for ITC’s 2013 third quarter earnings conference call. Joining me on today’s call is Joseph Welch, Chairman, President and CEO of ITC and Cameron Bready, our Executive Vice President and CFO. This morning, we issued a press release summarizing our results for the quarter and for the nine months ended September 30, 2013. We expect to file our Form 10-Q with the Securities and Exchange Commission today. Before we begin, I would like to remind everyone of the cautionary language contained in the Safe Harbor statement. Certain statements made during today’s call that are not historical facts such as those regarding our future plans, objectives and expected performance reflects forward-looking statements under federal securities laws. While we believe these statements are reasonable, they are subject to various risks and uncertainties and actual results may differ materially from our projections and expectations. These risks and uncertainties are discussed in our reports filed with the SEC such as our periodic reports on Forms 10-Q and 10-K and our other SEC filings. You should consider these risk factors when evaluating our forward-looking statements. Our forward-looking statements represent our outlook only as of today and we disclaim any obligation to update these statements except as maybe required by law. A reconciliation of the non-GAAP financial measures discussed on today’s call is available on the Investor Relations page of our website. In addition, ITC filed a registration statement on Form S-4 with the SEC to register shares of ITC common stock to be issued to shareholders of Entergy Corporation in connection with the proposed transaction with Entergy Corporation previously announced on December 5, 2011. This registration statement was declared effective by the SEC on February 25, 2013. ITC expects to file a post effective amendment to this registration statement. Investors are urged to read the prospectus included in the ITC registration statement and the post effective amendment to the ITC registration statement when available as well as any other relevant documents, because they contain important information about the proposed transaction. The registration statement, perspectives and other documents relating to the proposed transaction can be obtained free of charge from the SEC website at www.sec.gov when they are available. These documents can also be obtained free of charge upon written request to ITC or Entergy. I will now turn the call over to Joe Welch.
Joseph Welch - Chairman, President and Chief Executive Officer: Thank you, Gretchen and good morning everyone. I will start today by noting that our prepared comments will be relatively brief this morning given that we have provided a very comprehensive update on the business during our second quarter earnings call. And there have been few significant updates since then. Much of my time today will be focused on transaction-related updates. As we approach the end of the year and reflect back on what has transpired thus far, it is certainly fair to characterize 2013 as a demanding year for our company. We have continued to balance our key strategic objectives of executing on our standalone business initiatives and ensuring that the core business remains well positioned to deliver on our commitments going forward, while we also are advancing our transaction with Entergy towards a successful closing. Both of these objectives have presented many challenges for us to grapple with during the course of the year, but I remain very pleased with how our organization has responded to these challenges and persevered while remaining focused on advancing initiatives that serve to deliver value to our customers and our shareholders. From a standalone business perspective, our performance thus far has positioned us well to meet our overall operational and financial objectives for the year. We have worked hard to catch up on our capital plans from a slower than anticipated pace during the first half of the year largely due to weather-related issues and have essentially managed to meet our year-to-date budget targets by the end of September. In addition, I am pleased to announce that at of September we placed the first phase of the Thumb Loop project into service on time and on budget. This project will strengthen the transmission grid in the Thumb region of Michigan and will serve as the backbone infrastructure to support the interconnection of new generation resources in the area. The project will also serve to increase transmission system capacity and reliability, enable the delivery of lower cost generation and provide more efficient transmission energy – transmission of energy. In addition to the system benefits realized by the project we also estimate that the construction phase of this project alone will have an economic impact to Michigan of $336 million including but not limited to employment of local contractors vendors and suppliers. We believe that our execution of this project along with a numerous benefits the project delivers is very much a testament to our independent model. The Thumb Loop project is one of a number of larger projects within our standalone long-term capital plan and completion of the first phase serves as another important milestone in our execution of this plan. Further, the solid progress of this significant project is a good demonstration of how we have been able to successfully execute our standalone objectives and drive performance in our business while also pursuing and advancing the Entergy transaction. Turning to the regulatory front, I would note that there were very few noteworthy developments during the third quarter. In August, ITC did file a request to rehearing of FERC’s recent order on their state power and lights complaint against ITC Midwest Attachment FF generator reimbursement policy. As a reminder in July FERC issued its order on the matter directing ITC Midwest to move from its Attachment FF generator reimbursement policy to the standard MISO policy on a perspective basis. Our request to rehearing is consistent with our view that FREC aired in this decision and our strong belief that Attachment FF is supported by the Commission’s own policy as a means to increase competition in the bulk power markets and help ensure reliability and just and reasonable rates through open access. There is also the open only policy that allows new generators to participate on a level playing field with existing generation resources in particular incumbent utility own generating resources. There is no stipulated period for the FERC to rule on our rehearing request. As I noted on our second quarter call while we are pursuing our rehearing request to FERC we have also are evaluating potential alternatives to Attachment FF that would – they could address the significant concerns we have with MISO’s standard generator reimbursement policy. As you are likely aware, since we last addressed the investment community in late July, we have been very busy with activities related to Entergy’s transaction. Starting with the Texas proceeding at the Commission’s open meeting on August 9, it became apparent that the revised rate mitigation plan that we offered in each of the jurisdictions which included the benefit test approach that we outlined in July would not be considered by the Commission in rendering their decision with respect to the transaction. Accordingly we and Entergy elected to withdraw our application in order to preserve the opportunity to re-file a new application that would include our revised rate mitigation plan in this jurisdiction and allow the Commission to consider it in assessing the merits of the transaction. In the absence of the revised rate mitigation plan the Commission introduced a number of conditions on the transaction several of which would have been unacceptable to ITC. In the weeks following this meeting careful consideration was given to whether or not we should re-file the application in Texas given the events that have transpired. We ultimately decided to re-file the Texas application including the revised rate mitigation plan and requested an expedited procedural schedule in doing so. This revised rate mitigation plan is essentially the same plan that we discussed in our second quarter call and it has not changed materially since then. This revised rate mitigation plan balances the desire to keep customers grades for transmission service as low as possible with the need to transform the Entergy transmission system by assuring alignment of the realization of the benefits that the transaction offers to customers and the rate impacts resulting from ITC’s higher weighted average cost of capital as compared to that of Entergy. The plan also assures that the reliability of the system will be a focus for improvement, which is absolutely necessary to maximize the benefits to customers of participation in the MISO wholesale market going forward. In addition, by marrying the revised rate mitigation plan with the MISO transmission planning process, various state sighting requirements and other commitments, we have made state regulatory commissions in Entergy’s area can be assured that they will have more transparency into the transmission planning process and more knowledge regarding the needs of the transmission system and the investments that ITC will make to address such needs. They will also have the benefit of knowing that customers will effectively be insulated from the rate effects of ITC’s higher weighted average cost of capital until such time as the benefits of ITC’s ownerships can be calculated and demonstrated. It is our belief that the customers’ rate protection provided by the revised rate mitigation plan and the other commitments that we have made more than adequately address the rate impact and other jurisdictional oversight and regulatory concerns that have been raised by various constituents in all of the retail jurisdictions. However, that being said at this stage, we have no assurances that the commitments we have offered will in fact satisfy the concerns of the commissioners in each of the retail jurisdictions that must ultimately approve this transaction before we can move forward. As for the timeline for the retail regulatory proceedings, we are working diligently to secure all of the necessary retail jurisdictional regulatory approvals as soon as practical. In Texas and Louisiana, we now have procedural schedules established that will hopefully allow for decisions by year end or shortly thereafter. In Mississippi, we have effectively completed the hearing and briefing process and that case should be prepared for decision by the commission by late this year. Lastly, in both Arkansas and New Orleans, we are still awaiting for procedural schedules to be reestablished. Although our objective is to obtain the necessary regulatory approvals as close to the year end as possible, it is unclear as to whether or not we will be successful in doing so as we cannot ultimately control the procedural schedules. We believe that it’s important for us to be able to secure these approvals as close to the year end as possible in order to have the confidence that we will be able to close this transaction as early in 2014 as possible. As such, we will continue to asses our progress as we get closer to the end of the year as this will inform our decisions regarding advancing the transaction into 2014. Our decision to move forward in light of the events that transpired in Texas reflects our commitment to this transaction and our belief that it brings significant benefits to the region that would not otherwise be realized. It also reflects our view that the commitments we have offered in connection with the retail regulatory approval process are significant and provide substantial customer rate protections that ensure that these benefits will be realized. That being said, our commitment to closing this transaction is predicated on us being able to do so on terms and conditions that are acceptable to the company are not inconsistent with our independent business model and allow us to continue to create value for our customers and shareholders going forward. And as I mentioned in my opening comments, it has been a very active year for the company, but we continue to meet the challenges presented to us and are well-positioned to achieve our objectives for the year. Our standalone business remains well-situated to continue to deliver benefits to our customers while also providing well above the industry average earnings and dividend growth potential to our shareholders. If successful, the Entergy’s transaction would build off of this platform and expand our independent model along with the benefits that it brings. As we bring 2013 to an end, we are continuing to work diligently to ensure that our standalone business continues its solid performance both operationally and financially and to advance the transaction with the goal of bringing of greater clarity to our future going forward into 2014. I will now turn the call over to Cameron for the financial update.
Cameron Bready - Executive Vice President and Chief Financial Officer: Thanks, Joe and good morning everyone. For the third quarter of 2013, ITC reported net income of $59 million, or $1.12 per share as compared to $51.2 million, or $0.98 per share for the third quarter of 2012. Reported net income for the nine months ended September 30, 2013 was $156.6 million, or $2.96 per share compared to $139.6 million or $2.68 per share for the same period last year. Operating earnings for the third quarter were $66.5 million, or $1.26 per share compared to $56.1 million or $1.07 per share for the third quarter of 2012. For the nine months ended September 30, 2013, operating earnings were $188.6 million or $3.57 per share compared to $159.5 million or $3.05 per share for the same period last year. Our operating earnings are a non-GAAP measure, which currently exclude the following items. First, after-tax expenses associated with Entergy transaction of approximately $7.5 million, or $0.14 per share and $5 million or $0.09 per share for the third quarter of 2013 and 2012 respectively. These expenses totaled $31.9 million, or $0.61 per share and $11.6 million, or $0.21 per share for the nine months ended September 30, 2013 and 2012 respectively. Operating earnings also exclude after-tax expenses related to an estimated refund liability of approximately $0.1 million for the third quarter 2013 associated with certain acquisition accounting adjustments for ITC Midwest, ITC Transmission and METC resulting from the FERC audit order on ITC Midwest issued in May 2012. Amounts recorded associated with this matter totaled $0.2 million for the nine months ended September 30, 2013 and $8.3 million, or $0.16 per share for the same period last year. Operating earnings are reported on a basis consistent with how we provided our earnings guidance for the year and exclude the aforementioned items that were not reflected in our earnings guidance and do not impact the future earnings potential for the business. The year-over-year increase in operating earnings for the year-to-date period of approximately 18% was largely attributable to higher income associated with increased rate base and AFUDC at all of our operating companies. These increases are the direct results of the continued successful execution of our capital investments and needed infrastructure for the benefit of our customers. Capital investments for the nine months ended September 30, 2013 totaled $648.9 million across our four operating companies. This amount includes $170.7 million at ITC Transmission, $127.8 million at METC, $245.8 million at ITC Midwest and $104.6 million at ITC Great Plains. These capital investments benefit our customers by improving the reliability of our transmission systems and the economic efficiency of the grid by facilitating well-functioning competitive markets, relieving congestion and allowing customers to benefit from the lowest cost generating resources. As Joe mentioned, we have now largely caught up on our capital investment plans for the year and are essentially on budget from a total capital investment perspective as of the end of the third quarter. We are proud of the efforts of our teams to recover from the challenges we face during the first several months of the year, particularly in light of the fact that we are undertaking our largest ever annual capital investment plan. As a result of our performance for the fist nine months of the year, we are today updating our aggregate 2013 standalone capital investment guidance to a range of $810 million to $860 million from the prior range of $760 million to $860 million. The updated guidance range includes capital forecast at our regulated operating subsidiaries of $215 million to $230 million for ITC Transmission, $170 million to $180 million for METC, $285 million to $300 million for ITC Midwest and $140 million to $150 million for ITC Great Plains. In addition, we are also updating our annual operating guidance for 2013 to a range of $4.84 to $4.92 per share from the prior range of $4.80 to $5 per share. Our tightened earnings guidance range reflects the good progress we have made in executing our plans this year, but also recognizes the fact that the pace of capital investments during the first part of the year was slightly slower than our forecast. The third quarter proved to be a very busy period for us with respect to managing the capitalization requirements of our business. As mentioned in our last call, early in the third quarter, ITC Holdings successfully closed its first SEC registered bond offering by issuing $550 million of senior unsecured notes. The offering was comprised of a $250 million 10-year tranche priced at 4.05% and a $300 million 30-year tranche priced at 5.3%. Later in July, we established $185 million, 366-day term loan at ITC Transmission at LIBOR plus 100 basis points to repay ITC Transmission’s 4.45% first mortgage bonds that mature July 15, 2013. We elected to enter into this term loan as we felt that we would have better opportunities to access the capital markets with ITC Transmission at a later time in order to meet our longer term financing needs. Roughly a month later, ITC Transmission did in fact access the capital markets and successfully issued $285 million of 30-year first mortgage bonds on August 14. The bonds have a coupon of 4.625% and the net proceeds from the offering were used to repay the $185 million term loan entered into in July and a $100 million intercompany advance agreement with ITC Holdings. With the activities we have completed during the third quarter, we are poised to meet all of our capitalization requirements for the year. As for our current liquidity position as of September 30, 2013, we had $50.7 million of cash on hand and $510.9 million of net undrawn revolver capacity bringing our total liquidity position to $561.6 million. Our total capacity available under our revolving credit facilities is currently $725 million. In addition, the business continues to produce strong and predictable operating cash flows. For the nine months ended September 30, 2013, we reported operating cash flows of approximately $292.2 million compared to operating cash flows of approximately $258.4 million for the same period last year. This increase of approximately $34 million was largely attributable to an increase in operating revenues and lower cash taxes partially offset by additional interest payments. While we are on the topic of overall capitalization, I would be remised if I failed to highlight our recent annual dividend increase. As you are likely aware, in August, we increased our quarterly dividend rate approximately 13% from $0.3775 per share to $0.425 per share. This represented the eighth consecutive year since we became a public company that we have increased our dividend and this amount represented our largest ever annual dividend increase. As we have previously discussed, we believe that we have the opportunity to continue to deliver attractive and sustainable annual dividend growth while also preserving sufficient capital in the business to efficiently address our future capital investment requirements. More specifically, we have indicated that we anticipate annual increases in our dividend in the range of approximately 10% to 15% in the near-term with the goal of targeting a payout ratio in the mid to high 30% range as we continue to grow our earnings base. Our recent dividend increase obviously aligns with the stated policy and underscores our commitment to meeting the expectations that we have set with our shareholders. Turning now to our longer term capital plans, our key capital projects remained very much on track and I will provide a brief update on each. As Joe mentioned, the first phase of Thumb Loop Project was placed into service at the end of September on-time and on-budget. Work is proceeding on schedule for the remaining segments and the entire project is expected to be completed and placed in service in 2015. For the Kansas V-Plan, construction of the transmission line continues, if we are in the process of awarding the last remaining substation construction contracts. We are currently expecting to come in on or slightly below our budget for this project and are still anticipating the full project being placed in service by the end of 2014. Likewise, ITC Midwest is also making good progress in advancing our portions of the 4 MVP projects in Iowa, Minnesota and Wisconsin. On the segment of the MVP Project #3 that ITC Midwest will build in Minnesota. The Minnesota Public Utilities Commission has deemed ITC Midwest application for Certificate of Need and Route Permit complete. The procedure was scheduled for the citing process has now been established and should permit a decision on the project in the third quarter of 2014. For the segment of this project that ITC Midwest will build from the Minnesota-Iowa border to a proposed Mid-American energy substation in Iowa ITC Midwest is in the process of actively negotiating with land owners to secure necessary land and land rights on a voluntary basis. We anticipate filing our franchise application with Iowa Utilities Board for this approximately 31 mile long segment in the fourth quarter. Overall MVP project number three is scheduled to be placed in service in 2017 with some segments being placed in service as early as 2016. For ITC’s portion of MVP project number four, the project consists of four individual segments which will be placed into service between 2015 and 2018. ITC Midwest is in the process of hosting public information meetings and acquiring easements and has filed its franchise application with the Iowa Utilities Board for certain segments of the project. For MVP project number five and seven our efforts are focused on finalizing ownership structures working in parallel through advanced routing and citing applications for the project in order to remain on schedule to meet the project’s in service dates which range between 2018 and 2020. Overall we are pleased with our 2013 performance thus far and remained focused on concluding another very successful year for ITC. Likewise as Joe noted we are committed to continuing to pursue a successful conclusion the Entergy transaction on terms and conditions that we not undermine our current business model and standalone objectives and allow us the opportunity to realize the value of the transaction that we envisioned when we chose to pursue it. We believe that it is an important to gain clarity regarding this transaction as soon as possible so that we can continue to effectively prepare ourselves for the future. And we are working towards that goal regardless of the outcome we remain enthusiastic about the prospects for our business going forward and focused on executing against our strategic initiatives in the same disciplined fashion we’ve had historically. By doing so, we expect to continue to deliver value to our customers and for our shareholders to benefit from far superior earnings and dividend growth levels relative to the utility industry for many years to come. At this time I would like to open the call to enter question from the investment community.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Julien Dumoulin-Smith of UBS. Your line is open.
Julien Dumoulin-Smith - UBS: Thank you, sir. Good morning.
Joseph Welch: Good morning.
Cameron Bready: Good morning Julien.
Julien Dumoulin-Smith - UBS: So I will use my two questions this way. First, on Attachment FF can you talk a little bit more about the MISO regulatory process and where we stand there really granularly what are the kind of key points everyone would look for through the course of the year. And then secondly, on the demand side if you will. I know we rarely kind of talk about that in the (indiscernible) for probably good reason, but could you just kind of address obviously we are seeing slowdown in demand broadly speaking selected growth seems this transition hasn’t been impacted, can you talk to that a little bit?
Cameron Bready: Sure I will maybe touch on the first question first as it relates to FF as Joe noted in his prepared comments we have problems of rehearing on the order that was issued by FERC. We do believe and that FERC did air in this decision. We continue to believe that our Attachment FF policy is the appropriate policy that allows for a competitive wholesale markets that allows for our generating resources to compete on a level playing field with other incumbents and exit in generating resources. So we are facilitating that path to try to address our concerns with the order that was issued. In parallel as Joe mentioned we are working towards seeing if we can device an alternative solution that would address the concern that we have with MISO’s standard policy for generation interconnects. And just by the way a background for those of you that may not be entirely familiar with that, MISO’s standard policy effectively puts the vast majority of the cost burden for a network upgrades on the interconnecting generator, roughly 10% of 345 KV network upgrades can be paid for by the zone, in which the generators interconnecting, but the vast majority of the cost do fall to the generator interconnecting itself. We think that again is not a good generation interconnection policy itself. And that it puts too much burden on the generator and also creates barriers to entry in an un-level playing field with respect to new generators versus incumbent generators. I can’t say definitively today that we are going to have a different proposal to push forward, but we are continuing to investigate and explore alternatives that might otherwise address our concerns with the MISO standard policy in the event that we aren’t successful in our re-gearing efforts. Does that hopefully get to your question?
Julien Dumoulin-Smith - UBS: Yes, absolutely.
Cameron Bready: Okay. As for the second, I think Joe will jump in and I’ll add any – maybe some comments on the end.
Joseph Welch: Yes, I think there is again when you look at there is a decrease, if you will, perceived that we are going to have a decline in electrical load growth. And so in some areas and I will start with Michigan, I think we definitely saw that this year, but the vast majority of our work that we are completing in Michigan is tailored to continuing to finish rebuilding some of the grid here, which by and large we have done mostly and have completed. And of course, we still have large portion of the Thumb Loop to get down. Of course, that is all driven by the fact that there was a renewable resource requirements that was made in the state and the state has move forward to that. So now looking at broader scale, it’s not true that electrical demand is dying everywhere in the United States, especially in those areas where you are going to see a change of resources. And I am – what I was specifically talking to about is the exploration and the development of oil and natural gas equipment and it’s being built into areas, where actually the growth of that exceeds the growth or exceeds maybe below to the whole state. And so you see that happening and of course that scenario is where there is little or no transmission at all in existence. And so we are seeing a shift in where that growth is happening. In addition to that, you still have the constant pressure being put on out there for changing the generation resources. And that still leaves a lot of things in the air as to how that’s going to shake out. We see a lot of pressure right now being put on call. It’s not clear to me how that shakes out yet, but I will tell you this that you just can’t remove the large portions of generation on one spot in your system and start to build something else without having to have the transmission grid respond to it. So we stayed on top of this. I think we still see good growth way out into the future on transmission and we’ll continue to see it albeit not being driven by what would people would perceive the traditional load growth, but we see a change in how load is growing.
Cameron Bready: Yes. Julien, I will just add one comment, which is when we – I think it was our year end earnings call last year or earlier this year I should say when we did provide our perspectives on the macro drivers for transmission investment in the U.S. And frankly but for the situations that Joe described, load growth is not really one of those macro drivers. The requirements we are seeing for transmission investments are really driven by a lot of other factors that changing generation fleet, a desire to create more diversity in generation resources by adding your resources in various locations. It’s allowing for the competitive markets to function more efficiently reducing congestion and allowing for the lowest cost generating resources to be deliverable. And also just to underlying – there were underlying reliability of the grid and improving that for the benefit of the customers. Those are largely the drivers that we see supporting transmission investments in the U.S. as we look forward. Load growth, although we would all love to have more of it, I think we all recognize in the economic environment we are in anticipating significant load growth to drive significant investment requirements is probably not something that’s likely here in the near-term.
Julien Dumoulin-Smith - UBS: Alright, well I appreciate the thorough response.
Operator: Thank you. Our next question comes from Greg Gordon of ISI Group. Your line is open.
Cameron Bready: Hello?
Joseph Welch: Hi, Greg.
Greg Gordon - ISI Group: Hello, can you hear me?
Cameron Bready: Yes.
Joseph Welch: Yes, we can hear you now. Can you hear us?
Greg Gordon - ISI Group: Sorry about that. So my first question is just a little bit more color around your commentary on the application for the Entergy acquisition. So if we get to the end of the year my understanding is that either party could choose to terminate the merger agreement, but that you could also choose to continue on with the merger agreement. So when we get to year end, if we don’t have a decision yet from Texas or any other jurisdictions that looks like those final decisions are imminent, i.e., they could come in January or February? Are you intimating that you would wait to see the final decisions before you would make a call on the deal or is there some other factor or factors that you would also way, if you don’t have the decisions, but the decisions will give it in?
Joseph Welch: This is Joe Welch. And I think that I really covered this in my prepared comments that we are remaining committed to bringing this to a conclusion. There are other factors that we will consider along the way and actually consider them before we actually re-filed in Texas. We had to take a look at to see whether we could meaningfully get done what was expected in Texas. We hadn’t filed the mitigation plan there. So we went ahead and filed that plan. And of course, we asked for expedited treatment, which they gave us. And so we are going to move forward with that, but along the way if we get to the point where we find out that our business plan in anyway shape or form our business model is going to be affected in a negative way, then I think we have to sit back and say whether we would pursue this. Our goal is to get this to a place where we are comfortable, where we know where the outcome is going to be. And if we could not get to an outcome that we are comfortable with, I think we would withdraw, but I haven’t said that we are committed to moving forward with this transaction until we get to that point and we just haven’t got there.
Greg Gordon - ISI Group: Great, thanks. One follow-up, Cameron, can you reiterate for us what you have said publicly about what the standalone prospects are, i.e., presuming for some reason the Entergy deal doesn’t close? What your standalone prospects are for continued investment in growth post ‘16, so whatever public comments you have made and whatever additional color you are willing to make to give us now with regard to how the growth rate would – might trend post 2016 given the investment opportunities that you are working on changes in the regulatory climate and also the impact of the reality that a lot of the other utility entities in the region now seem to want to get into your business and compete directly with you for projects?
Cameron Bready: Sure. I think my most recent comments again date back to our year end earnings call back in February, where – and I think we have touched on some of this through the course of year as well. I mean, we obviously remain committed to our publicly presented plan, which takes us through 2016. Beyond that, we have suggested that we see for our business superior growth levels from an earnings perspective relative to the utility industry for the next decade. Naturally, we have also indicated that eventually just the LIBOR’s numbers will catch up with us and the growth in the business will slow at some point, but given the macro outlook, we have for transmission investment in the U.S. what we perceive to be a continued relatively constructive framework from a regulatory perspective to execute against that and our confidence and our ability to compete with anyone who is interested in participating in this business. We believe the growth prospect for the business remained very attractive. And we still believe that we can continue to drive double-digit growth in this business, through this decade and superior growth relative to what you will find in the industry for at least a decade. So our outlook I think remains very positive with or without the Entergy transaction. Naturally, we think the Entergy transaction just builds on this overall attractive growth platform in the future. But certainly, we are very enthusiastic about our standalone plans to the extent that we are unsuccessful in bringing the Entergy transaction to conclusion on terms and conditions that they were comfortable with as Joe noted. And maybe you didn’t really ask us, but I will touch on it nonetheless. On the competitive landscape, we have been saying for sometime that we obviously see the industry becoming more competitive, but nonetheless when we come to work every day assuming anybody could compete for a transmission investment. And we are always working to ensure that we are positioning this organization to be successful in any competitive environment and believe that our attributes including our independence are so focused on transmission the fact that we are one of the largest builders of transmission infrastructure in the U.S. and have great economies of scale to build on the relationships to build on. And the fact that that’s all this management does day in and day out, continues to position us very well for an increasingly competitive environment. But we are quite confident in our ability to be successful in that landscape going forward.
Greg Gordon - ISI Group: Thank you gentlemen.
Cameron Bready: Thanks Greg.
Operator: Thank you. Our next question comes from Kevin Cole of Credit Suisse. Your line is open.
Kevin Cole - Credit Suisse : I guess, can you talk about a little bit more – I guess when you pulled Texas and you have some time between expert hand refilling. Just what process of what made you comfortable with that refilling and the path that you deal on?
Joseph Welch: Well, I think it is safe to say that we had to sit down and assess where we felt that we had deficiencies in our record. The thing that – I think that it is very hard for people from the outside to understand is how complicated it is to do a multistate transaction. It would be really good if you could get all the states in one room at one time, get all the issues on the table at one time and sit down and have a discussion with them all at one time, and then make one simultaneous filing. But that isn’t the way it happened. And so as you are going through the state jurisdictions and I will use Texas as an example they absolutely have a statutory requirement that they have to process their filing within 180 days and issue an order. During that process of course we were in discussions with other states and there was negotiations going on and the record in Texas was not complete. And we realized that once they put the order out there or the discussion took place where we would drew our filing we did not have a complete record that allowed them to give us a hopefully a very positive order. So we decided to pull it, reassessed all of the things that we had done in all of the other states and the commitments that were made and try to bring it together and basically get the mitigation plan entered into the record, why the mitigation plan is really in my mind the best deals that ever be could put together for customers because it’s essentially a wholesome harmless in perpetuity and to we can demonstrate benefits that exceeds the cost. So if you look at that in and out of itself that cost benefit test actually assures those jurisdictions that you are never going to do something foolish like the assertion of gold plating or overbuilding because it does allow us to get out of the mitigation plan. So we got that into the record, got the whole test mode supporting it and why it gave them, what they essentially wanted and hopefully we can move forward. So that was the process we used, but the underpinnings of that is to why it happened the way it was because you just cannot get these, all these jurisdictions practically at one place at one time because they are sequentially happened and things go on, people never offer what they see going on in another jurisdiction and so we view that the mitigation plan now present in all the jurisdictions and answers all the questions as best we can answer them. And hopefully everybody got – everybody is working through the same script now. That was the process.
Cameron Bready: And Kevin I’ll do maybe add a little finer point to one aspect of that. When you look at the conditions that were proposed in Texas at that open meeting on August 9, recognizing that our rate mitigation plan was not the record, we had to step back and ask ourselves. For those conditions that we could not accept or did not find acceptable as we thought about the rate mitigation plan, we had to assess whether or not that the underlying concern that gave rise to the condition including in the list that we might have found unacceptable. Does the rate mitigation get to the heart of what their concern is. And I think our assessment is that we believe the rate mitigation plan we offer does adequately address the concern that gave rise to the conditions. It may not do it exactly the way that the condition described, but we think the spirit of the rate mitigation plan does address the underlying concern. And that’s fundamentally where we needed to get ourselves comfortable in order to make the decision to move forward. And as Joe described, we did and we think the rate mitigation plan that we have put forward should address the underlying concern whether it will or not, I think we all recognize that remains to be seen.
Kevin Cole - Credit Suisse: I guess, we are able to use the time between when ex-parte rolled off and you re-filed to have, I guess a frank conversation with the commission?
Joseph Welch: The fact is that what the only conversation that we had was to understand exactly what their main issues were. And we did a multitude of fact gathering during that timeframe, not just talking to people at the Texas Commission, but talking to everybody that’s affected out there, including customer groups. It was important to us to make sure that we thought as Cameron said that our rate mitigation plan at least met in spirit what their concerns were. So that was basically what we did.
Kevin Cole - Credit Suisse: Okay, great. I would like to ask one more question. I think last October you announced like a big SPP blueprint like project, can you give an update on where that sits in kind of path for biggest spin-out projects?
Cameron Bready: Sure. I mean, we have submitted that to SPP’s planning process as part of their ITP 10. That project was analyzed in connection with one of the scenarios, maybe one or two of the scenarios for which they are planning for. So it remains in that SPP planning process currently. And we are continuing to work with SPP to assess the project as they continue to advance projects that are designed to meet specific planning criteria that they have established. The project is I think we stated at the time is really designed to create a reliable AC network export path for resources on the western side of SPP to be able to move east and do so in a way that also benefits the SPP region by having a more reliable AC infrastructure in place. As SPP continues to assess their futures that include the desire to export more capacity from the west to the east, we continue to believe that this project meets the criteria that they have set forth. They haven’t obviously advanced that particular planning criteria as one that would allow for projects to move forward, but we continue to work with the inevitable goal of trying to do just that.
Kevin Cole - Credit Suisse: Thank you. Will you guys be issuing guidance at EEI?
Cameron Bready: I can’t comment specifically today as to when we might issue guidance. We have a process that we need to go through here that includes obviously vetting our 2014 budget with our board. So after that, we would be in a position to share our outlook for 2014. It will likely be before the end of the year, but I can’t – I am not going to put a specific date on it.
Kevin Cole - Credit Suisse: Great, thank you guys.
Operator: Thank you. Our next question comes from Charles Fishman of Morningstar. Your line is open.
Charles Fishman - Morningstar: Follow-up on the Texas, just to make sure I understand it. The re-filing you have made essentially addresses or you believe addresses the laundry list of items in the Texas Open Meeting in August, just maybe not in the exact way that the Texas Commission suggested, is that a correct assessment?
Joseph Welch: That is a correct assessment. Again, just to state it again that we look at the list of items that they wanted us to do, some of which, for instance, we just cannot do, okay. And we had to make sure that what we had put forth, because the issues that were brought up in the Texas order were candidly things we had been discussed with other state jurisdictions through the negotiation process and that was the genesis by which we put the mitigation plan together. So we want to make sure that we had assessed that properly and that we addressed it the way somebody termed it and I want to make sure that we get this right is that they ask for it in one way and we thought we gave them the answers to their questions, but we didn’t give it to them in a way that they would ask for, but we wanted to make sure that we addressed their concerns. We think the mitigation plan does that very well.
Cameron Bready: Yes. And Charles, it’s Cameron again. I think our perspective is there is in any situation where a commission outlines a condition, there are some underlying concern that gives rise to the need in their minds who have a condition. I think clearly as Joe highlighted there were certain conditions that – on the face we couldn’t just simply accept. So what we try to do is look at the underlying concern that gave rise to the need for that condition and make a determination as to whether or not the rate mitigation plan that we had already put forward would satisfactorily address that concern, albeit in a different way than we described in the condition. And that’s ultimately where we ended up. We filed – in a number of cases the condition that they could afford was perfectly acceptable to us. In other cases they were not and we have tried to draw the linkage between the concern that we understood giving rise to the condition and how the rate mitigation plan itself addresses that underlying concern. So, you are right, it’s not an okay to exactly the way that they had described it in the condition. But we feel that what we have offered adequately addresses the underlying concern that was raised.
Charles Fishman - Morningstar: Okay, very helpful. And then I noticed the expenses associated with the Entergy transaction were dramatically lower in the third quarter versus second quarter. Is that a trend that will likely continue I mean we are on the downhill side of this thing?
Cameron Bready: We are on the downhill side certainly from an expense perspective. There obviously would be we get to closing some, some closing contingent expenses that are fairly significant. If you look at the course of this year I think its $31.9 million for the year. This is the year where we have done most of the hearing, that’s very obviously litigious process that involved the significant amount of expense. So, lot of that is behind us and we are to your point on the downward side of the hill with respect to transaction related expenses unless we get to close in which case or some closing contingent expenses that would materialize.
Charles Fishman - Morningstar: Okay, thank you. Good luck.
Cameron Bready: Thank you.
Operator: Thank you. Our next question comes from Jonathan Arnold of Deutsche Bank. Your line is open.
Jonathan Arnold - Deutsche Bank: Good morning.
Joseph Welch: Good morning.
Cameron Bready: Good morning Jonathan.
Jonathan Arnold - Deutsche Bank: Cameron can I just pickup on your growth comments in response to Greg’s question you talked about being a higher growth rate the average utility of 10 years and then you mentioned double digit to a bit more specifically your current plan is 15 to 17 off of an 11 base where you’ve been running I think 20 or so over the first 2 years. Do you perceive yourself to be sort of in a trajectory of that 15 to 17 current 5-year plan, you’ve been running kind of above where it would be ultimately or is that just kind of the natural pay as you – the number grows?
Cameron Bready: Yes, I think the 15% to 17% as we’ve talked about is the compound annual growth rate over that five-year period. So to the extent a little bit more of it may be has come in the front years. I think we are comfortable with the overall growth trajectory through the 16% time frame. I think as I said earlier we still see through the end of this decade we talk about certainly double-digit growth and growth that is parts appear to that then what we see in the utility industry on average, that’s as specific as I can be at this stage given the commentary that we’ve had.
Jonathan Arnold - Deutsche Bank: So would you be presumably if you went back to a standalone outlook it would be sort of a ‘13 base through 2018. With that you consider that would be comfortably double digits given how strong ‘13 is and this is off of the original base or is that we are getting too far?
Cameron Bready: No, I think a fair interpretation of my comments would be what you described.
Jonathan Arnold - Deutsche Bank: Comfortably, okay. And then I guess I had one other thing, on last course when you sort of you had a slide where you showed highly probable components of CapEx plan and then $3.4 billion. I think it was in a $800 million of additional with you associated with the 3% to 4% of the CAGR. How much of that $800 million is sort of moving into highly probable in a way you have updated on that slide? And then how should we think about that timing way?
Cameron Bready: Yes, it’s a good question. We didn’t update the slide or didn’t present a new slide in this particular earnings call. I don’t have a specific number to give you in terms of how much of the $800 million has shifted from the not highly probable to the highly probable, all that what I can tell you at this stage is we remain confident in our overarching $4.2 billion plan through 2016 obviously working off ’11 as the base, and ‘12 as the first year of capital investment. So we are still obviously standing behind that plan. I don’t have a specific update to tell you in terms of how much of the 800 has shifted into the highly probable category at this stage.
Jonathan Arnold - Deutsche Bank: Should we anticipate that there really won’t be much more granular update on any of this until you get to that point early next year where you decide whether the fields got momentum or not?
Cameron Bready: Yes, I think that’s fair. And we said all the way along the line, we are focused on executing against this important strategic transaction and therefore successful in that. The outlook for the business will look very different than it does today. Not in terms of overall trajectory but certainly the components of growth and the magnitude of capital investment and how the business will work. So once we have clarity and this is why we I think stress the importance to have clarity soon so that we can obviously be in a position to provide an outlook as for the business going forward whether it’s our current standalone business or one that reflects the combination of this business in Entergy.
Jonathan Arnold - Deutsche Bank: Thank you. And could I have just slight more for Joe. Joe on the just strategically with the transmission business in general, it seems there are lot of shifts in the focus of industry towards more distributive renewable type solutions in the longer term. I am very curious if you would comment on do you handle with that and how does that change where ITC proceeds it’s kind of role in building out that growth?
Joseph Welch: Well, first of all I could spend probably a whole day discussing the merits and lack of merits of distributed generation. I think that what everyone understands is that when you have distributed generation and the more distributed it becomes actually you start to rely on the reliability profile of the discrete unit which is inherently not as reliable as the grid itself. And so the more distributed it becomes, the more you absolutely need to get a grid that’s going to support it when its not there in the off hours or for backup purposes. It does present a new set of challenges for planning again. The thing that I have talked about is that it is a lot easier to plan when you have a policy that you are planning against what we seem to have is honestly as you are out there how we are going to go about it. But you superimpose on that the distributed generation or the distributed resources the natural gas that now exists in the United States and the cost of that natural gas and that puts a new cost parameter around those distributed resources that they didn’t have before. And I believe that the last study that I said, is still the economies are going to shift towards central station plan. And I believe that could be the case as long as diversity of load exists in our forecast and I don’t see that ever going away.
Jonathan Arnold - Deutsche Bank: The question validity of a shift to an old distributed model, but it did happen what would that mean to your business?
Joseph Welch: Well, first of all I don’t think the shift will happen. We might study it, but I just don’t think the economies are there and they weren’t there in the 1900s and they are not going to be there in the 2000s. And I will have that debate with anybody and I think I can demonstrate that. Now assuming that even though I would say that it’s not going to happen or that it’s going to be on a small scale, it will put different demands on the transmission grid as it exist today. Again I see the long-term needs for more transmission especially in those areas of the country that doesn’t have robust transmission to exist. We are going to have exactly what I said in my prior answer that there has been a shift where the load is materializing and the drivers for that load. And there is still a need to move power across multiple businesses and as you continue to go more distributed we are going to start to see resources for back up change their complexion and we are going to have to have a grid again to deliver that.
Jonathan Arnold - Deutsche Bank: Great, thank you very much.
Joseph Welch: Thank you.
Operator: Thank you. Our next question comes from Rajeev Lalwani of Morgan Stanley. Your line is open.
Rajeev Lalwani - Morgan Stanley: First, given that you are going to have some clarity around whether or not you are moving forward with the Entergy transaction around the end of the year, when do you expect to provide some sort of multi-year guidance? And then the second as it relates to the Entergy transaction, are you expecting a litigated outcome across the board at the various states or do you think you might be able to settle a jurisdiction or two?
Cameron Bready: Rajeev, it’s Cameron. On the first question, I can’t give you specific date right now just because we haven’t drawn lines in the stand around when we will have clarity with the Entergy transaction. I think it’s fair to say once we have clarity regarding what the business will look like in the future whether it’s the standalone business or the standalone business merge with Entergy, we will endeavor to get something shared sooner rather than later, but I can’t put a specific data on it sitting here today. To your second question, I think we always remained opened and willing to pursue settlements in any jurisdiction. Candidly, we have been at this for quite a long time and we haven’t gotten there yet. So I wouldn’t want to suggest that we view that as imminent. Nonetheless, I think we are always open-minded and we are always willing to discuss trying to come an agreed upon solution with other participants in the transaction that would allow for us to avoid a protracted procedural process and one that we think the commissions could support. So that’s always something we are more than willing to do and then desired to do. When we put the – I wouldn’t want to suggest the likelihood as terribly high just given the amount of time we have been at this already and the fact we haven’t been able to get there today.
Rajeev Lalwani - Morgan Stanley: Got it. Thank you.
Cameron Bready: Thanks.
Operator: Our next question comes from Mike Bates of Wunderlich Securities. Your line is open.
Mike Bates - Wunderlich Securities: Good morning. Just wanted to come back to some of Joe’s comments earlier in the call, Joe, you mentioned that there going to be opportunities to build our transmission in some of the energy rich areas that really don’t have a strongly interconnected grid yet, to what extent did those type of opportunities fall within the current capital plan versus being towards the end of the decade or even afterwards?
Cameron Bready: Mike, it’s Cameron. I think by and large, those are going to be the types of projects that are in our development portfolio. Few of them I would say are going to be in the current kind of 5-year plan that we have presented that takes us out through 2016, because a lot of that need for that has been developing over the last couple of years. And certainly meeting that need and fulfilling that need will take a little bit of time, but certainly, it’s the type of capital that we would envision in our development pipeline and those are indicative of one sort of area of project so to speak in that pipeline that we are continuing to try to advance. Some of that is in the SPP region working with our partners down there. There could also be aspects of that to touch on our current operating areas as well.
Mike Bates - Wunderlich Securities: Okay, thank you very much.
Cameron Bready: Thanks Mike.
Operator: Thank you. That does conclude the Q&A portion of our call. At this time, we would like to turn the call over to Gretchen Holloway for any closing remarks.
Gretchen Holloway - Director, Investor Relations: Thank you. Anyone wishing to hear the conference call replay available through Friday November 8 should dial toll free 855-859-2056 or 404-537-3406. The pass code is 82749220. The webcast of this event will also be archived on the ITC website at .itc-holdings.com. Thanks everyone and Happy Halloween.
Operator: Ladies and gentlemen, that does conclude your program. Thank you for your participation. You may now disconnect.